Operator: Thank you for standing by. My name is Bailey and I will be your conference operator today. At this time, I would like to welcome everybody to the Triple Flag Q2 2024 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions]. I would now like to turn the call over to Shaun Usmar, CEO. You may begin.
Shaun Usmar : Thanks, Bailey. Good morning, everyone, and thank you for joining us to discuss Triple Flag's second quarter of 2024 results. Today I'm joined by our CFO, Sheldon Vanderkooy; and our Senior Vice President of Corporate Development, James Dendle. Triple Flag delivered another strong performance in Q2 with sales of 27,000 GEOs. This has resulted in a record result for Triple Flag in the first half of the year and places us firmly on track to achieve our 2024 GEO sales guidance of 105,000 to 115,000 ounces. Our flagship asset, Northparkes continues to deliver quarter-on-quarter growth in GEOS due to high open pit grades. This has underpinned year-over-year growth of 25% in cash flow per share. We're also excited about the opportunity for further value creation that evolution has demonstrated in only eight short months as the operator of Northparkes. Most notably, the opportunity for high grade production from a new sub-level cave at the well-established E48 mine after the completion of high grade open pit mining is an exciting development that we're watching closely. Looking ahead, Triple Flag's organic growth profile remains strong and well positioned to deliver long-term value with expected sales of 135,000 GEOs to 145,000 GEOs in 2028. On the deal front, we've also maintained a solid pace of accretive acquisitions over the past month with an additional royalty interest in the Tamarack project operated by Talon metals, as well as new gold streams on the Agbaou and Bonikro mines operated by Allied Gold. Ultimately, we remain disciplined towards capital allocation during this period of strong precious metal prices and are pleased to announce that the performance of our business has provided the basis for our third consecutive annual increase of our dividend by 5% since we listed in 2021. Finally, the CEO transition has gone extremely well. Sheldon is running the day-to-day with the team in a seamless fashion, which is one of the clear benefits of the choice of the finding internal candidate, who's well regarded by the market and team alike. A full organizational picture has now also been set. Upon my departure in Q4 this year, Eban Bari will become Chief Financial Officer and James Dendle will become Chief Operating Officer. The promotion of Eban and James is a testament to the leadership and expertise as core members of Triple Flag's high performing team. Eban has been with Triple Flag for six years, serving as VP of Finance and responsible for all finance functions, including financial reporting, tax and treasury. James, who many of you know well, joined Triple Flag in 2017, heads our corporate development function is a talented resource geologist by training that has worked across the globe with SRK in his former life. These promotions reflect Triple Flag's commitment to developing and creating growth opportunities for internal talent, a multi-year succession plan in action, and showcases that our true competitive advantage has always been our exceptional team. Furthermore, we're pleased to have Fraser Cunningham recently join the team as Managing Director of Triple Flag International based in Bermuda. Fraser has a long history with Triple Flag, previously as an investment banker with Scotiabank and Bank of America, having advised us on our 2021 IPO and 2020 acquisition of Northparkes. Fraser brings tremendous field experience, networks, and leadership to the deep talent pool that exists at the company. We're excited to welcome Fraser to Triple Flag. I now turn it over to Sheldon to discuss the financials for the second quarter of 2024.
Sheldon Vanderkooy : Thank you, Shaun. We had a strong first quarter with a portfolio producing over 27,000 GEOs and record first half GEOs of just under 55,000 ounces. This puts us right on track to achieve our 2024 guidance. Cerro Lindo and Northparkes continue to be the two largest contributors to Q2 revenues with Cerro Lindo receiving a strong benefit from the rise in silver prices and Northparkes showing year-over-year growth due to the higher gold grades realized. Strong production and strong gold and silver prices resulted in record levels of revenue and adjusted EBITDA that are significantly higher than the prior year period. Most notably, operating cash flow per share increased 25% when compared to the prior year period, which is the metric that I am most focused on. The streaming and royalty model is working as it should with higher prices resulting in more cash flow to shareholders and not being consumed by capital expenditures or operating margin compression. I am also pleased that our dividend has been increased to $0.22 per share annually, up 5%. We have increased our dividend every year since our IPO in 2021 and it is my intention that we will continue this track record going forward. I view growing dividends as a core part of our capital allocation strategy. Lastly, I'd like to comment on our balance sheet. We exited the quarter with a small net cash position. Our portfolio generates robust cash flows, which allows for deployment into new asset additions, dividends and share buybacks and repayment of debt. Through the course of 2023 and the first half of 2024, we repaid debt taken on in connection with the Maverix acquisition. We acquired cash flowing royalties on Agbaou install, all while increasing our dividend and buying back shares. Our cash flow outlook combined with nearly $640 million of current available liquidity gives us the financial capacity to deploy further capital for future per share growth, as well as deliver higher shareholder returns. Turning now to Slide 6, I am very pleased with our continuing record of production growth. We are right on track for 2024 guidance which will represent our seventh consecutive year production growth. We are also well positioned for longer term growth. We expect our portfolio to deliver 2028 sales of 135,000 GEOs to 145,000 GEOs, a significant increase over current levels. This is despite the removal of Pumpkin Hollow and Moss mine from our outlook. This 2028 outlook reflects the assumptions listed on the slide. These include the development of the E48 sub-level cave at Northparkes, Phase II production from ATO, first Nuton copper production at Johnson Camp mine, and the development of assets such as Eskay Creek, Hope Bay, Kone, Prieska, as well as many others. Turning now to Slide 7. We continue to highlight our asset diversification, precious metals focus, and a portfolio which derives over 85% of its revenue from Australia and the Americas. Our Q2 revenues were 100% derived from gold and silver. I want to highlight that we have meaningful silver exposure representing 40% of Q2 revenues and reflecting strong performance at Cerro Lindo and Buritica. Silver has great potential in today’s environment and represents significant upside for us going forward. Our shareholders invest in us for gold and silver exposure. Gold today is trading at over $2,400. It is a fantastic time to be invested in precious metals. Increases to the gold price will translate directly into increased cash flows for our shareholders. I'm very pleased with the charts on Slide 8. Strong production and strong gold prices are delivering record revenues, and most importantly, record cash flows. The model is working as it should. Fundamental to our model are the sustained 90% asset margins, which inflate us from margin compression and CapEx overruns. There is an ongoing debate about the stickiness of inflation in the broader economy. Our model insulates us from inflationary pressures and provides consistent high margins and therefore dependable cash flows. I expect the per share cash flow increases to continue for years into the future as we deliver on our 2028 growth outlook and look for additional opportunities to deploy free cash flow into accretive acquisitions to the benefit of our shareholders. Over to you, James.
James Dendle: Thanks, Sheldon. Northparkes is a key asset for Triple Flag, providing tremendous optionality through growth across different time frames, flexibility across ore bodies, and discovery potential across the property. In the near term, E31 open pits continues to deliver high gold growth, driving both meaningful quarter-on-quarter and year-over-year growth. In Q2, the processed gold grade from E31 was 0.34 grams a ton, higher than the 0.28 gram a ton in Q1, and above the 0.15 gram a ton average from 2021 to 2023. In the medium term, mining of the E48 sub-level cave is expected to contribute to a steadier production profile at Northparkes versus the previous mine plan, following the depletion of the E31 pits through to the commissioning of the E22 underground. In the longer term, first production from E22 is expected in 2029, and studies are being advanced to optimize development of this ore body, assessing block cave and sublevel cave methods for a hybrid approach. Evolution has announced the discovery of the Major Tom and E51 deposit at a shallow [depth] adjacent to the E26 deposits and 4 kilometers from the plant. Intersections include 180 meters at 0.97% copper and 0.13 grams ton gold at Major Tom, and 142 meters at 0.88% copper and 0.14 grams per ton gold at E51. Interestingly, these deposits offer the potential for extraction independent of the underground materials handling system, and drilling is ongoing. We could not be more pleased with Evolution's optimization work to enhance the future in Northparkes. Turning to our newest streams, I'm also pleased to announce the acquisition of 3% gold streams on the Agbaou and Bonikro mines, operated by Allied Gold and Cote d'Ivoire, for total cash consideration of $53 million, with minimum delivery through to 2027 of at least 6,000 gold equivalent ounces per annum on a combined basis. Up on close, these assets add immediately cash flow and notably are expected to achieve full payback within the minimum delivery period through 2027 in the current gold price environment. Closing is expected by late August 2024. Allied is an experienced operator that has demonstrated value creation through exploration investments in a short time as a public company, with further synergy potential being advanced by combining Agbaou and Bonikro into a single complex. Triple Flag has an existing 2.5% net smelter reserve royalty on Agbaou, which we acquired around a year ago, and we know the team and the asset well. Our streams cover the existing mining and exploration licenses for Agbaou and Bonikro, where an extensive $16.5 million exploration program is being executed in 2024. Ultimately, Allied is targeting a production rate of 180,000 ounces to 200,000 ounces per annum and a great 10-year mine life from the combined complex. We look forward to working with Allied as an operating partner for years to come on Agbaou and Bonikro. Back to you, Shaun.
Shaun Usmar : Thanks, James. This is likely the last set of results I'll present as CEO of Triple Flag. I started the business in May of 2016 with nothing more than the undertaking of a great financial partner in Elliott Management, specifically embodied in Mark Cicirelli, the driving force behind this journey. I shared an appreciation of the many advantages of the streaming and royalty business model and a vision of what value could be created by applying this model to an underserved mining sector. With the company approaching nine years of execution and delivery, I'm proud of what we've built together and I'm forever grateful for the opportunity afforded to me. We've come from obscurity to become the fourth largest precious metal streaming and royalty company in the sector. With these latest results, we've delivered a strong start to 2024 with record performance in the first half, which puts us nicely on track to achieving our guidance of 105,000 GEOs to 115,000 GEOs for 2024. This would represent our eighth consecutive projected year of record GEO growth for our business and builds on the 34% CAGR in operating cash flow this team has already delivered over the past seven years. I'm not aware of any competitor having replicated this delivery, certainly under similar conditions and timeframes. Our job is to allocate capital and create value for our stakeholders through rational risk-taking in pursuit of growing value per share. I'm proud of our track record, which is on full display on an absolute and relative basis and stack up favorably on objective metrics. We've not been flawless, as our disappointment at Pumpkin Hollow and Moss indicates this quarter, but this relates to two of our 236 assets, where the portfolio overall continues to deliver. No portfolio only has winners, and the overall portfolio performance continues to shine through. Our GEO guidance this year is nearly 40% ahead of our intermediate peers, and we remain the only competitor amongst our seniors and intermediates to be on track to deliver growth from our portfolio this year versus the prior year. We remain commercially well-placed to maximize value for our investors while forecasting continued robust growth through to 2028 and beyond from our existing portfolio. With our ample firepower of roughly $640 million in available pro-formula liquidity making our active deal pipeline fully actionable and cash flow for more than 30 assets, Triple Flag is diversified and well positioned to benefit from the current constructive metal price environment as we continue our relentless [indiscernible]. Although I'm proud of our objective financial and deal-making achievements, I'm particularly proud of how we've gone about delivering those results. As a relatively new company, this is perhaps best demonstrated by a second ranking by Sustainalytics of the 118 global companies covered in the precious metal sector, contributing millions of dollars to support our mining partner’s sustainability priorities to enhance the privilege to operate, help give back to the mining sector's future through many scholarship programs we've granted to talented students, and done so while maintaining our carbon neutrality since our inception. But the true asset I've helped develop at Triple Flag these past eight years is our team, and exceptional talent and depth of experience it contains, this team has delivered the deals, the growth, managed the risks, nurtured our stakeholder relationships, cultivated our deal pipeline, delivered the largest TSX mining IPO in eight years, and delivered growth in value, both financial and social, as large investors in Triple Flag themselves. I'll miss them all. This truly is the secret source, our competitive advantage, along with the inclusive, caring, and deeply analytical, highly engaged culture that drives our performance. Taking on new challenges as CEO of Value Base Metals would not have been possible if the business was not performing well and with our business on track to deliver our eighth year of record growth and our balance sheet in pristine condition and our underperforming assets cleaned up while our core assets continue to deliver strongly during times of robust commodity prices, clearly this is a good time. An equally important requirement was to provide the Board with strong succession possibilities. We've committed significant time, money, and resources in developing our internal talent depth over the past few years while day-lighting strong external talent alternatives. As the largest individual shareholder, I'm grateful to the Board for acting decisively in appointing Sheldon as my successor. I know he is the right choice to lead this team into an even better future as someone who joined me on this journey from my second week, has helped deliver every deal, and has a perfect cocktail of integrity, great commercial acumen, and importantly, has the respect and support of the team he'll be leading. He's been my right-hand and business partner for the past eight and a half years and I'm proud of all he's achieved in his personal and professional growth. The transition is accordingly proceeding seamlessly, and Sheldon is already running the company on a day-to-day basis. I expect he'll formally take over by the end of the quarter as I transition to my new role. I'd also like to think that Sheldon and the Board made excellent decisions in appointing Eban Bari as CFO and James Dendle as COO, effective on my departure. They've both been with the company for many years, are deeply talented, are culture bearers, and are respected and admired by their teammates and our mining partners alike. Eban worked with me at Barrick in a senior finance capacity and offers depth and experience well beyond the scale of this organization. And James has been involved since our first deal in 2016, is deeply talented resource geologist and leader that has worked around the world and has successfully led our corporate development capabilities and our function through a successful IPO and beyond. He is a talent, the sector will benefit well into the future. I'd like to congratulate them both and look forward to watching them continue to grow, thrive, and deliver for our shareholders, myself included. Finally, I'd like to end by thanking Elliot, our incredible funding shareholder and partner, for their trust and sustained support, our Board for their guidance and leadership, our mining partners for their partnership and commitment, our investors for their trust with their money, and our remarkable team for making it all possible. It's been a privilege and a highlight of my career so far, and I leave with a sense of sadness, joy, pride, and excitement for the future. Thanks for the support and attention today. So with that, let's open it up to questions.
Operator: [Operator Instructions] Your first question comes from the line of [Michael Abasolo]. Your line is open.
Unidentified Analyst: Yes, thank you for taking my question. My question, actually I have two. One is, what is the basis of your expected gold and silver price for the future? What's the rationale behind that assumption of those two prices? And the second and more relevant question to me is about the impairment charges. I see that there hasn't been mention on your part about this and it's not disclosed first in the document. But I think it's -- I see that it's a large amount. I wanted to know what went wrong there, what was the fault, and if there is any chance of reverting the loss, or you think it's definitive loss. Thank you.
Shaun Usmar : Michael, thanks. I guess on the first point on gold and silver prices, look, I mean, doing the math on this is pretty easy when you look at the ounces or margins and translating it forward. We don't project forward gold prices or silver prices. For our investment decisions, we use a range of pricing. We'll look at consensus. We'll look at spots. We'll look at where investments start losing money because we understand that it is a dynamic environment. And I think the important feature here though is we are structurally bullish, gold and silver, particularly in a world where we see continued central bank money printing and currency devaluation. I did a podcast fairly recently with Grant's Interest Rate Observer where we go into this in some detail. So to the extent that's of interest, I direct you in that direction. On the impairments, look, firstly, I think if you look at certainly most analysts out there, this is something we've provided full disclosure on these underperforming assets in the case of Nevada Copper for years and in Moss recently. I think the best way to think about that is we are not adjusting our guidance for this year. We've already incorporated the underperformance into our views, we’ve communicated those quite seriously. And just given sort of triggering events from an accounting point of view, a prudent thing to do is what we've done, which is recognize that. I'll ask Sheldon to perhaps comment further, but you'll see full disclosure in our MD&As and how we thought about it and also how Sheldon can comment on where we're stacked. I think there are many lessons. I think the first thing when you look at Moss is that was part of a portfolio of 114 assets that we acquired at a small premium when we acquired Maverix. As you'd appreciate, when you buy the many assets, you have some underperformance. We recognized that was suffering before we went into that investment. We requested the team make sure it had sufficient working capital, and they struggled. They continued to underperform. And I think the one lesson we've learned over the last eight and a half years is there's a point where you have to make sure you're not throwing good money off to bad. It's an asset in this price environment that I think if it was properly capitalized and there was sort of good exploration, I think with other runners in the focus, there could be some interesting future in that asset. But we're not prepared to continue funding that, so hence the recognition. And about the copper, there's probably more time than we've got. I think we've covered this in many years in the past. It's a copper asset in the United States with an underground mine that's near built and an open pit. There've been various owners over time, which I could have taken and developed that. It is in a process at this stage and we'll see where that gets to. But I think the prudent thing, which we have done from an accounting point of view, is to sort of fully reflect that write down. Sheldon, do you want to pick up on that or James, anything else on the assets?
Sheldon Vanderkooy : No, I'll speak to that, Shaun. This is Sheldon speaking. Yeah, so both Pumpkin Hollow and the Moss mine, they're currently in insolvency processes. So we do have a prospect of recovery and the optimist in me would like to think we will have it. But for financial reporting purposes, I think it's very important for us to be prudent and for us to be conservative. The Pumpkin Hollow mine is in the Chapter 11 process in the United States, the Moss mine is in the CCAA process under Canadian insolvency proceedings. We are secured on both those assets and so there is some prospect, but what we did is we wrote those down to zero. We thought it was very important because despite the fact that these represent properties in the United States, Moss -- in the case of Moss, gold's at all time highs, copper prices are robust, there's a lot of sunk capital there. And so I can see some recovery there. I don't want to hold out the hope publicly of that because these are inherently uncertain processes. We thought being conservative was the right stance. We wrote them down to zero. And that allows our investors and shareholders to understand that there can be no further bad news from these assets. And I've seen others in our sector take a similar stance with uncertain processes, where they may be the prospect of recovery, but they -- going to zero, I think, gives a base. And you can be confident that there is no further financial statement exposure from these two assets for Triple Flag.
Shaun Usmar : And Michael, I'll just add by just saying, look, the fundamental performance and the work this team does on the portfolio should be self-evident, both in terms of capital deployment, the yields we're generating, the cash flow that this is generating. We're building a portfolio, and that's what we've done with over 230 assets. So hopefully that addresses your question. Bailey?
Operator: Thank you. Your next question comes from the line of Tanya with Scotiabank. Your line is open.
Tanya Jakusconek: Oh, good. Good morning, everyone. Thank you for taking my questions. Congratulations, Shaun, on your new appointments and Sheldon and team, on yours. I got a couple of questions. The first thing I'm just going to start is on the just some modeling questions. Just, we are expecting a stronger second half. I think that that's your guidance for the year. Can I just review, we had talked about quarter-over-quarter improvements at Northparkes, is that still what we're expecting? Therefore, Q3 is going to be a bit lower than Q4 with Q4 being the best quarter overall for the company? I’m trying to get a feel for that.
Shaun Usmar : Okay, well, firstly, Tanya, thanks so much. It's good to chat to you. I'm going to ask James to comment on that.
James Dendle : Yeah, Tanya, we don't provide asset by asset sort of quarterly guidance, but directionally, we've got a stronger Q3 then a slightly softer Q4 from the Northparkes, which is what we're expecting right now. But obviously, those things do change with production scheduling and scheduling and deliveries and shipments.
Tanya Jakusconek: Okay, so okay, so Q3 for Northparkes is stronger than lower Q4. And then for the company as a whole, then should I be thinking as Q3 equals Q4 generally speaking?
James Dendle: Tanya, I think, you know, it's probably not the right, we don't provide quarterly guidance. We try to provide directional guidance, particularly as it relates to a big asset. There's a lot of moving pieces and the guidance range we have is what we're on track to achieve.
Tanya Jakusconek: Okay, all right, maybe I'll move on then to just looking at the, the acquisition that you did last night or announced last night. I'm looking at that production profile that you, you know, the company is given and looking at what your guidance is using 1,815 thousand tons that you've given for like 2028 or 1,900 thousand tons, there about. Would you say the internal rate of return is in line with operating mines, which are generally in the 5% to 6% range? Would that be fair James?
James Dendle : No.
Shaun Usmar : I think significantly superior.
James Dendle : Yeah, Tanya, this is, both mines have relatively modest reserve life, but a long potential life beyond that. And you'll recall we acquired a royalty on Agbaou at least about a year ago. And since acquiring that royalty, the mine life has actually increased dramatically. It's been a really good investment for us. And we expect the company to be able to add to the mine life here. We see this as a much more robust return at consensus prices than you mentioned, partly driven by the fact the mine life is on a reserve basis shorter. But I think even with that, we think this would be more like a double digits reserve. And we think the minimum deliveries is a strong feature of this transaction.
Tanya Jakusconek: Okay. So you're thinking double digit returns on sort of the 1,900 gold price just on reserves alone?
James Dendle : Yeah.
Tanya Jakusconek: Or are you including some of the resources?
James Dendle :
James Dendle : No, we’ve include some of the resources converts. That we make modest assumptions based on historical knowledge and current analysis of the property that some of the resource converts.
Tanya Jakusconek: Okay, so you do have some of the resource in there. Okay, now, that's helpful. Thank you. And then finally --
James Dendle : And I think what's big and underappreciated with these assets is, you know, traditionally, Agbaou has been explored on the compensation area, which is basically the mining lease. There's a very large property around there, which is actually quite remarkable being underexplored. And while we're not explicitly pricing that into the transaction, I think it represents great upside both of us, like there's a part of that in the deal, we really like, and I think that's supported by the amount of money that's going into exploration of these properties right now.
Tanya Jakusconek: Okay, thank you for that. And then just on just on the M&A pipeline with the deal pipeline that's out there. We've always talked about its $100 million to $300 million range, but you know, one of your competitors has talked about now the range is up from $100 million to $700 million. So maybe, James, you can talk to us about whether you are seeing now larger deals, you know, your deal has been in, under $100 million. So I'm just kind of thinking what's your sweet spot and what you're seeing out there?
James Dendle : Tanya, I think our sweet spot remains the same as it has, in our prior discussions at this point, the $100 billion to $300 billion range is a really good one for us. It's very easy for us to fund. It also would result in deals of meaningful scale in proportion to the size that can be. You know, I think it's fair to say that all the large transactions seen by all the competitors, realistically if somebody's getting a phone call on a $700 million deal, we also get a phone call a $700 million deal. So there's some probably some consistency across that end of transaction scale, which we're seeing. But there is some complexity in these deals, particularly at the larger end, and there's no guarantee that discussions that involve transactions of the $500 million plus mark actually count the book. There's some complexity with the underlying counterparty. So we're optimistic that the pipeline looks good on those larger transactions, but it's very difficult to forecast the timing. There continues to be a number of smaller transactions in the market. I think this was a great addition, particularly given the immediate cash flow. And it was available in the market to us. And we had great insight into the assets. So we'll continue to add these sort of acquisitions when we can. I think that the key is there's a large number of companies who start the capital. And some of those represent good opportunities, but some of those represent hazards. And really, it's avoiding the hazards with some of the smaller, more challenged situations. But we're seeing a strong pipeline, so we're pretty happy about that.
Shaun Usmar : And Tanya, I’d add that, as you'd appreciate with, Sheldon and James, Eban and others having sort of been at the decision-making table for the extent of this journey, I don't think, and Sheldon can comment beyond, but that you should expect any change in definition of sweet spot or discipline on value allocation or capital allocation. And that's the point of the sweet spot. I would think if somehow we find another Northparkes tomorrow, we have the capacity to do that. And you should expect that we would do just that, I would think.
Tanya Jakusconek: Okay, and then we're still seeing in precious metals, both on the development assets and producing assets. Those are still that $100 million to $300 million deals. You're still seeing the same thing?
Sheldon Vanderkooy : Hi, Tanya, this is Sheldon. Yeah, I think there's really been no real appreciable change in the pipeline over the course of the year. I don't want to just reiterate all of James's points, but it's like it's a pretty deep pipeline. There are some of those like very large transactions out there. But as James said, you never -- it's hard to get visibility on what the percentages of those being realized or and they might not come to the market at all, right? These are these are decisions the operators are making and they're surveying their menu of choices. But there's also this deeper pipeline of smaller transactions, which also can represent really good value for us. And I kind of point to the deal that we announced yesterday, on Agbaou and Bonikro, I think these are really good transactions for us and a really good home for over $50 million of our capital. So, if we could bring some more of those to book, that's good. But if we find something that's sizable and it benefits the value of shareholders, I think we're going to be hunting those down as well.
Tanya Jakusconek: And you'd be open to syndication like you mentioned on that previous call?
Sheldon Vanderkooy : Oh, for sure. If it's of a certain size, we're certainly open to syndication. And particularly, there's a factor there that for some reason, then you don't want to be overweight in a portfolio, whether that's stage, some kind of aspect of the risk profile that you think on a risk return basis, it's attractive on a smaller size and but on a more heavy basis it's not where you want to go. So you now and we've had we've had a good dialogue with a number of parties I mean we've seen examples of that in the market recently where someone did a partner or syndicate and we're certainly open to any of those discussions. At the end of the day we want to do its best for Triple Flag shareholders, that's our objective.
Tanya Jakusconek: Yeah. Okay, great. Thank you so much and congratulations.
Sheldon Vanderkooy : Thank you.
Shaun Usmar : Thanks, Tanya.
Operator: [Operator Instructions] And there are no further questions at this time. I will hand the call back over to Mr. Usmar for closing remarks.
Shaun Usmar : Bailey, thank you. And thanks everybody for your time and attention today and the questions. And I'll just leave you, I think, where we started. I think what people say and what they do, ought to coincide. And I think what you're seeing in this team is execution on what we set out to do, manage a sensible portfolio, focus on shareholder value. And when you start looking coming into this year, at a time that coincides with near cyclical highs in gold and silver prices, you see the benefits. I mean with us being literally one of only three between the seniors and intermediates who hit guidance last year and we’re the only guys to indicate increases in our guidance for this year and be well on track with record performance in the first half of the year with a good balance sheet, more deals in the pipeline and underpinned with a really strong team, I think for our investors that puts a Triple Flag in an incredibly strong position. So with that, just thank you all very much and we look forward to more of this in the future with the Triple Flag team. So thanks, thanks very much, Bailey.
Operator: Thank you. This does conclude today's conference call. You may now disconnect.